Operator: Good morning. My name is Simon and I will your conference operator today. At this time to welcome everyone to the Boralex Inc’s Second Quarter 2020 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be question and answer session. [Operator Instructions]. Thank you. Mr. Milot, you may being your conference.
Stéphane Milot: Thank you, operator, and good morning, everyone. I would like to welcome you to Boralex Second Quarter Results Conference Call. Joining me on the line are Patrick Lemaire, our President and Chief Executive Officer; Patrick Decostre, our Vice President and Chief Operating Officer; Bruno Guilmette, our Vice President and Chief Financial Officer; and other members of our management and finance team. Mr. Lemaire will begin with comments about the highlights of the second quarter. Afterwards, Mr. Decostre will provide comments on the operations and development. Mr. Guilmette will carry on with financial highlights, and then we will all be available to answer your questions. As you know, during this call, we will discuss historical as well as forward-looking information. So when talking about the future, there are a variety of risks that have been listed in our different filings with securities regulators, which can materially change our estimated results. So these documents are all available for consultation on sedar.com. In our webcast presentation document the disclosed results are presented both under IFRS and on a combined basis. Unless otherwise stated, all comments made in this presentation will refer to combined basis figures. The press release, the MD&A, the consolidated financial statements and a copy of today's presentation are all posted on the Boralex website at bolarex.com under the Investors section. If you wish to receive a copy of these documents, please contact me, whenever you want. So, Mr. Lemaire will now start with his comments. So, please go ahead, Patrick.
Patrick Lemaire: Thank you, Stéphane. Good morning, everyone. I will start by thanking once again all our employees for the hard work, they continue to provide, despite all the elements relating to COVID-19, which is still affecting our daily lives in different ways, depending on the region where we are living in. Once again, this quarter, you really made the difference and allowed us to continue growing our EBITDA and adding projects to our pipeline. Comments were made during the quarter by many governments indicating renewable energy should be a strong component of their economic recovery plan. This major sanitary and economy crisis will probably be the trigger needed to accelerate the energy transition underway. For us, we have been in this business for 30-years. It is a logical tap to take, investing into different economies of the world to resume growth, while taking care of the health of the planet and all the people living on it. In New York state, Governor Como reaffirm his objectives to achieve zero emissions by 2040, and his desire to accelerate exchanges with Canada. A white paper indicating the need to accelerate the growth in the development of renewable energy to achieve the stated goals was also published by NYSERDA and New York State Department of Public Service. in Quebec, Prime Minister Legault indicated that the new projects to be done in the province would be wind projects, which is good news for our 200 megawatt project. In France, request for proposal are continuing, and government officials reaffirm their commitment to the energy transition. All these announcements are really positive, and reinforce our conviction that we have chosen the right market in our strategic plan. Turning now to our second quarter results. We experienced mixed wind condition in the quarter which resulted in strong production in Canada, which not only compensates for the decrease in wind production in France and hydro production in North America. However, we have been able to increase our EBITDA, thanks to our Canadian wind operation, the optimization of our service and maintenance costs and the contribution from our Buckingham Hydro Power Station. We have been able to add projects into our pipeline and advanced projects within our growth tab during the quarter. We also completed many optimization initiatives, which will bear fruit in quarters. I will now report on progress towards the orientation of our strategic plan. Starting with domain elements of our growth orientation. Last Saturday, we commissioned our Santerre 15-megawatt wind farm in France. We also added 103 megawatts of projects to our pipeline and moved three projects from secured stage to the ready to build stage. In July, we did our [Morlange] (Ph) lower projects in France, for which we have been able to optimize layout and increase capacity from 51-megawatts to 71-megawatt. On the diversification orientation we are getting ready to bid projects in the October auction in New York State. On the customer orientation, we signed our second corporate PPA with retailer OSHA in France, which will be fulfilled by two wind farms having EDF contract. In terms of optimization, many initiative were put forward. Notably the optimization of maintenance work on wind farms with total production capacity of 412-megawatts, or 276-megawatts net to Boralex. Last item on the optimization orientation is the construction underway of the Cham Longe wind farm in France, which is going as planned. We also had three repowering projects to be optimized in our growth. In conclusion for my part, as mentioned in the beginning, COVID-19 did not significantly affected us. Thanks to the dedication of our employees. Our development activities continue and we are looking at ways to accelerate the process at different stages. We are also maintaining the disciplined execution of our of our plans. We have a strong financial position to capture potential accretive opportunities, bringing strong cash flow, maintenance synergy, or a strong pipeline of development projects. And finally, we can count on the mobilized management team and the innovation as well as the sharing of best practices between the different parts of our organization. I believe that the COVID-19 pandemic, while forcing people to work remotely and alone in their houses, or apartments. Have strengthened the relationships and the teamwork among the different services in our company. I will know that Patrick cover our development and operation. I will be back later for the question period. Patrick.
Patrick Decostre: Thank you. Patrick Good morning, everyone. I would go directly into the analysis of our production. As shown on Slide 8 in our presentation documents or Canadian wind operations performed quite-well in the second quarter as production 10% higher and than anticipated production and 4% higher than on the same quarter last year. This gross was strong enough to compensate the decrease in production in France. After two exceptionally good quarters in France, the second quarter ended up 11% lower than anticipated production on a comparable basis, due to less favorable wind conditions. Production from the commissioning of wind farms was lower-than-expected due to the slight delay in the commissioning of our Seuil De wind farm. Overall, total wind production for the quilter combining Canada and France was in line with the anticipated production and 2% higher than last year. Turning to hydro now. Production of the Buckingham Power Station was 14% higher than the anticipated production following its reopening. Comparable hydro production in Canada and U.S. was down, compared to anticipated production and also compared to last year, due to weak hydrology conditions in general. Thermal production was down compared to anticipated production in last year, due to a temporary shutdown of the center station during the seasonally low period of the year. This reduction should be offset in the second part of the year. In summary, total production for the quarter was 5% lower than anticipated production and 4% lower than last year. You can notice however, on Slide 9 of our presentation that, on a year-to-date basis, total production is 4% higher than anticipated production and 4% higher than last year. Thanks to the very strong first quarter. Turning to development now. As you can see on Slide 10, we added 103-megawatt to our portfolio of projects in the second quarter. Projects were added in the early stage for both North America and Europe, and some projects progress from mid-stage to advanced stage in Europe, 45% of project added were wind project and 55% solar project. New project advance from the portfolio of projects to our growth path, which we are confident some of them could progress in the coming quarters. As mentioned by Patrick, we have bid 71-megawatt in the July tender in France, and we are preparing our bid for the upcoming request for proposal scheduled in October for the New York state solar market. Turning to our growth path now. As mentioned we added 15-megawatt to our production capacity with the commissioning of our Seuil De wind farm in France. Our Basse Thiérache 11-megawatt wind project in France, moving to the ready-to-build stage, which commissioning expected at the end of the year. Two Powering project [indiscernible] also moved into the ready to build stage with commissioning expected in the first half of 2022. Please note that these two projects while adding only 2-megawatts of capacity per project will improve production by more than 60% for the total 14-megawatts of production capacity each after repowering because of the longer size of the blades and overall improvement in efficiency. This two wind farms also secured 20-years contracts with EDF. Please note that we have changed the name of these two project to harmonize internal and external reporting. These two projects were named [indiscernible] powering one and two in the first quarter growth path. We are making good progress with the secured project and are expecting to have some of them moving into the ready-to-build stage in the coming quarters. In conclusion for my part, we had a good production level for the first six months of the year. Our projects are progressing well in our pipeline and grows fast and I’m very proud of all the optimization going on at all levels in the organization. We have a strong momentum right now, which is very encouraging for quarters to come. Finally, we are getting ready for the upcoming requests for proposals and are quite optimistic about what we have in the pipelines to bid in these standards. This complete my part, I now let know Bruno cover the financial portion in more details and we will be back later for the question period. Bruno?
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with a review of the progress made in light of our 2023 financial objectives. Starting with our last 12-month AFFO, which decreased by 20 million from 144 million in the first quarter to 124 million in the second quarter. This decrease is due to a timing effect in the debt reimbursement schedule compared to last year following the refinancing in Europe, as well as the difference in the distribution levels from joint ventures in Canada. Debt reinvestment in France for 2020 should however be equivalent to 2019 for the full-year. Our dividend distribution ratio now stands at 50% in the middle of our 40% to 60% target. Our net installed capacity stands at 2,055 megawatts and with the growth pattern pipeline presented earlier by Patrick, we remain confident that we will reach our 2023 goal of 20 hundred megawatts sorry about that. And other important element that I want to bring to your attention this morning should follow your press wires on the optimization front is the closing we just announced this morning of the refinancing of our Niagara wind farm projects. For the year total refinancing of a total of 805 million, generating five million annual recurring benefits and providing the financial flexibility to reduce our corporate credit facility between $65 million and $70 million. Within the last 12-months, we have completed three refinancing, totaling $2.7 billion. These refinancing have greatly improved our financial flexibility, reducing our corporate credit facility by $258 million and generating total annual recurring savings of $22 million. Getting back to results now. Second quarter revenue has followed the pretty much the same pattern as production growth compared to last year, coming from the wind and hydro sectors. The increase in hydro revenues is coming from the Yellow Falls Power Station, which was selling at market price last year and this year the contract came in effect. EBITDA increased from 103 million in the second quarter of last year to 107 million this year. EBITDA for the wind sector was six million or 6% higher than last year and hydro EBITDA increased by two million or 16%. Moving to cash flow now. We generated 51 million of IFRS cash flow from operations in the first quarter, down by four million compared to the same quarter last year. The AFFO decreased by 20 million going from 16 million in the second quarter last year to a negative four million this year, for the reasons mentioned before timing effect. As indicated on Slide 18, our financial position remains solid with our net debt to total market cap ratio of 40% on June 30, 2020, compared to 56% on December last year. In conclusion, results in the second quarter showed an increase in EBITDA in spite of a reduction in our total production. We are proud of the momentum created with all the promising optimization initiatives completed and underway. And last point as mentioned by Patrick, we have a solid balance sheet, are still looking for potential acquisitions or partnerships if any represents add value and are creative to our shareholders. Thank you for your attention. We are now ready to take your questions. Operator.
Operator: [Operator Instructions]. Your first question comes from the line of Nelson Ng with RBC. Your line is open.
Nelson Ng: Great. Thanks. Good morning everyone.
Patrick Lemaire: Good morning.
Nelson Ng: My first question relates to the re-powering. So you have two, so you are working on several re-powering facilities, two of them due in 2022. I think the investment is about $38 million each with a $3 million EBITDA contribution. Can you just clarify whether the $3 million is total EBITDA or the incremental EBITDA you expect?
Bruno Guilmette: So, well, I need to take this one. It is $2 million is the total.
Nelson Ng: Okay. So, you are re-powering it I guess just under 13 times EBITDA, could you just walk us through the decision to I guess repower rather than to read contract maybe or sell the power generated under merchant process or under a corporate EPA and how you decide to repower versus keeping those facilities running?
Patrick Lemaire: Like we have mentioned in the past, we always do arbitration between the repowering and to keep it running so the result of that arbitration or comparison, it was more beneficial to repower the facilities as compared to like keeping them on the spot market. And the real market - okay, it is been that there is always a risk, and I call for surely could have been covered PPA, but we compare it to the risk from this spot so.
Nelson Ng: Okay and those facilities are in like 15-years to 20-years old or older than that?
Patrick Lemaire: They would be 15-years old when we will dismantle them and then we power and we are building the turbine not exactly at the same position so we have optimized the time where we have to shutdown, we will have no production on the site because we can do some foundation and access works without touching the existing plan.
Nelson Ng: Okay, and then the cost of repowering is pretty similar to the new build right, given that it is mostly new equipment, but at least the permitting time is a lot quicker right it is up to -.
Patrick Lemaire: The permitting time is quicker generally you have some savings on access and electrical connection especially in this case because as you have seen the power is not increased a lot and on the other side all the cost of dismantling foundations and reselling turbines to Spanish company which was already interested in these two sites, we will have partners to do this and we know the cost we don't have any we have already experienced was thanks to Charlotte.
Nelson Ng: Okay, got it. And then my next question is relates to the optimization of O&M. Let's say you are in sourcing some O&M, contracts or some O&M, assets from assets and outsourcing or renewing the outsourcing contracts for other assets. Could you just talk about the like whether there is a cost difference to that, whether you are taking a bit more risk in sourcing and I think a big picture like what's the cost savings and what are the risk differences that you are looking at?
Patrick Lemaire: Yes, indeed, we have actually three types of moves during this quarter, one in France, which is a renegotiation of contracts with one supplier. And in this case, we have compare the fact to internalizing everything to reducing the scope of their contract wind we think that we are indeed, making more money for the risk we are taking on this contract. In Canada, we have lighting the plateau and last year and things were some years ago, we have decided to internalize and obtain agreement to internalize all the dimension at work within Boralex. So, we are obviously saving more money. In term of risk, it is not more really because it is a day-to-day work maintenance that is done by us. But we are in a better position to optimize the production of these sites. And when we compare both, we think it is the right decision in Canada. And finally in France, some assets coming from the Kallista transaction, we have optimizing to fully internal measurements, since we are really, we are used to this [indiscernible] we think it was the right way to do. In terms of savings, it is like the previous webcast, I'm not disclosing savings. You can see already some savings in the quarter, this quarter in France, and you will see them and it would be respected in the EBITDA numbers. It is difficult considering the sensitive nature of agreement with suppliers and partners to disclose you precise numbers on this.
Nelson Ng: Okay. That is great. And then just one more questions before I get back in the queue. In France in terms of the corporate PPA is I think once for five years, once for three years. Could you just comment on the economics of the corporate PPAs compared to, I guess, the merchant power price and compared to the feed in tariff? Like I presume it is lower than the feed in tariff price, but how does it compare to the merchant price and then also three years versus five years. So like, how long are corporate willing to go in terms of the period?
Patrick Lemaire: Okay. Starting by the duration of the contract. Some corporations wants three years and others five years. Typically nobody is going, and we are not interested to go for less than three years now. We have other negotiation on the way. So this is really the breakfast where we think it is good to be. And on the other side, more than five years, I'm not sure we will go to this. Typically we are thinking now to re-power one day the [indiscernible] wind farm, where we have a five-years contract with as you know. And if we signed for 10-years, we will not be able to re-power it. So sometimes we need to be, to keep some flexibility when we the duration and in term of price also in the French market, there could be some reason for an increase of the price because of the reducing power in [indiscernible] in France during the coal also. So there could be some pressure. So we want to not to go over five years for now. In term of price, when you speak about merchant price. Merchant price, typically referred to day ahead price. This price is moving every day and has been affected a lot during the crisis, during the pandemic and the lockdown in France. But, if you look to the price for next year, the forward price for 2021, this has gone from $50 to I think the lowest was a little bit over €40. And then it comes back to a little bit lower than €50 per megawatt hour. So, and we have signed with this cooperation just around this price of the 2021 forward price for next year. But again, it is sensitivity. I think it is reasonable for both because you have to compare base load and pay us produced contracts for us, so it is good in terms of risk return for -.
Nelson Ng: Okay, so it is pretty close to the forward prices is what you are saying?
Patrick Lemaire: Yes. And the forward prices, if you look to it, you can see that it has really not been affected by the crisis, because it is a temporary situation on the day ahead price.
Nelson Ng: Okay. Great. I will get back in the queue.
Operator: Thank you. You next question comes from the line of David Quezada with Raymond James. Your line is open.
David Quezada: Thanks good morning everyone. My first question here just on the upcoming RFP in New York, I'm wondering if there is any, I guess qualitative comments you could provide on the number of projects, you are looking at how that is shaping up. And maybe just on that same topic, I understand that the NYSERDA has the RFP, I think there is a one year bidding on but I think the New York Power Authority also has won a little bit before that. I'm wondering if that is one that you can also participate in and any of your products could apply to both of those.
Patrick Decostre: Yes. I will answer that. We will participate through both RFP. So, we have projects that would suit the two criteria that we know have been out of each RFP. So, we don't want to disclose how many projects or the amount of megawatts for competitive purposes, so don't want to indicate our - to our let's say our other people bidding what we're going to do during this. So, these RFPs, but that tell you that we will participate.
David Quezada: Okay, great, thank you. And then maybe just going back to your comments about potential restart of wind in Quebec or that there may be more open to that now. What kind of a timeframe do you think ballpark? Is that is that is a couple years out or maybe more like five years out?
Patrick Decostre: There was an article yesterday, and it was mentioning, it was coming from either Quebec, that they were seeing themselves deal at the end of their surplus, or the overcapacity that they have they were mentioning since a few years there we are seeing by 2025 being a challenge year, so if everything goes away the anticipate the consumption to be and also export and all this what they are doing now with our power. And so we see if we think of 2025 we see the RFP probably coming in, let's say in the 18-months to come because if you want to build by 2025, you need to give, let's say you need to give an order to private producer like we are 2022 at the let's see it would be a good day to be up in operation in 2025. So, but this is all new one that just came out a couple weeks ago from that Prime Minister Legault, and the article came out yesterday. We know that [indiscernible] the new President of Hydro Quebec has been in the news since arrival. So, it is changing a little bit of scope of what was done before in Quebec. So, we see everything, being very positive. So, that is my answer.
David Quezada: Excellent. Thank you for that color. I'll get back in the queue.
Operator: Your next question comes from the line of Mark Jarvi with CIBC Capital Markets. Your line is open.
Mark Jarvi: Thanks. Maybe just picking up on your comments to Patrick coming out of Hydro-Quebec obviously you guys mentioned you guys had the partnerships around the [indiscernible] And is there any increased thoughts from your perspective or any updated thoughts around expanding that and maybe exploiting wind down to U.S. market?
Patrick Lemaire: We are looking at all avenues. And, we mentioned that we went there was the Massachusetts RFP. We did submit in the RFP with Hydro-Quebec. So, we have been having good discussions since a while with Hydro-Quebec. For sure Hydro-Quebec won on a standalone basis in that RFP. But there was a different proposal that were and one that partly win by Boralex and partly Hydro. And so, just to mention that we have discussion with Hydro-Quebec and with the new team over there, it can now only be better than you did discussion between the two.
Mark Jarvi: Okay. So, still possibility. And then the comments on looking at M&A, and looking accretive M&A, maybe just you kind of again you define as accretive? Is it on a MPD basis? Is it year one free cash flow and then what else would you guys be thinking about from a M&A or partnerships around targets of either developing or more operating assets that you are looking at?
Bruno Guilmette: I can take that Patrick. Mark, I guess the straight answer is, we are putting that quite a bit of emphasis on a free cash flow per share. And, for us, that is an important point and basically the yield also, we want to make sure that we get the inappropriate yield on that. On larger M&A, we clearly have quite a bit of M&A possibilities on the smaller end of the scale with blockers and so on. But for larger stuff, there is a clear focus that it is accretive on a free cash flow per share for shareholders.
Mark Jarvi: Is that necessarily day one, or if there were some development out there, that can be maybe over a couple of year period as you bring on assets or any other detail you can provide around timelines for accretion?
Bruno Guilmette: We certainly wanted it to be - we aim certainly for hopefully for 12-months to 18-months there accretion.
Mark Jarvi: Okay. And then when you talk about partnerships, is it from a financing perspective that you would really lean on a partnership or what other attributes, when you guys are now thinking about partnerships, that would be key item for you guys to move ahead on?
Patrick Lemaire: I can answer that, so partnership could happen in many, many ways. It could be a partnership, participation partly into some assets. So, in the acquisition or to add a partner to acquire something so is the way that we see partnerships. It is mainly it is going to, it is always to help us to have a better a better return on the Boralex have a financial partner, because we could have in the partnership have a more free cash flow by managing and things like this and this would, this would better the situation for Boralex return compared to the overall acquisition of a project. So, because we know on the acquisition end sometimes the returns are low. So, this is why we see ourselves needing partners.
Mark Jarvi: Okay. And the last question. Maybe in terms of on the dividend, you are sort of in the midpoint of your payout ratio. range but giving less focus from investors from an income perspective in the space and more around growth and you guys have a healthy pipeline. So, would you be more lean towards moving the parish into the lower end of the range or any perspective on the importance of turn capital for the dividends?
Bruno Guilmette: We are comfortable with our dividend policy at the moment and this payout range. Our projections show that it is working well from our plan perspective, to allow us to reinvest money and growth and the payout ratio seems to be in the right ballpark for shareholders at the moment.
Mark Jarvi: Okay. Thanks.
Operator: Your next question comes from the line of Rupert Merer with National Bank. Your line is open.
Rupert Merer: Good morning everyone. In order to start on the development activities in France, you mentioned the new land low end project 71-megawatts now is being a bid into a poll. Can you walk us through what happened with that project? Of course you had a PPA previously. There was some pushback on the project. So, I imagine you have given up on this previous PPA, anyway can you walk us through how we got to where we are today?
Patrick Decostre: Yes, I will do. The first authorization on 51-megawatt as you remember has been cancelled by the first level of court reinforced by the second [indiscernible] and then we are on the crusade data to the level of court in France, just on the - I mean they are looking just on the form of the formality of the court appeal decision. So, this is still pending. And but we are confident about the fact that the court appeal has done the right job. we have obtained just by the end of June, the authorization from the authority is possible in France, even if your final decision is pending to improve the size of the turbine in group 71-megawatt. So, this has allowed us to bid in the tender of July 1st which was a 250-megawatt tender. And then if we win from this tender, we will have 20-years contract again for this project and the duration and we have three years to build the project after the tender, when we win it. But the delay is frozen, if you have any recourse against the project. So we'll hopefully freeze a price for 20-years for these project, whatever are the next court procedures if any.
Patrick Lemaire: Rupert. Just to add that to what Patrick just mentioned, we do remember for sure, but this will 51-megawatt was under the 2016 program, which has expired being at the maximum capacity of this program. So this is the reason why just one lost its contract. And now we can submit it in a new RFPs. So, okay.
Rupert Merer: Okay. You remind us how much you have invested. I think it was about $60 million and I believe you had some recourse to recover some of those funds. So, when you are looking bid this into the next call, do you think that investment as a sunk cost or the economics of the next call possibly attractive enough that you will come out ahead of where you were on that 2016 call?
Patrick Lemaire: Well, we did a write off on that. And correct me Bruno if I'm wrong, but at the end of December, 2009.
Bruno Guilmette: Partial. Partial write off.
Patrick Lemaire: Yes. And so, we will account the rest of the let's say spending under this project. So, into the economy of the return.
Rupert Merer: Okay. So we should treat that investment as sunk cost at this point.
Bruno Guilmette: Yes. The portion.
Rupert Merer: Okay. And secondly, on development costs, so they were down a little bit in the quarter, did this hamper or slow down any of your development activities and should we expect the development costs to rebound in the coming quarters?
Patrick Decostre: Yes. Essentially, our budget development is sometimes moving from one quarter to the other and taking into account the opportunity as we did during Q2, it was some works was not possible to be done. So, teams all working hard, so there could be some rebound. But the annual budget would be respected and we are working hard to develop the company.
Rupert Merer: Alright. Great. Thanks very much.
Operator: Your next question comes from the line of John Mould with TD Securities. Your line is open.
John Mould: Good morning. You mentioned in your news release that, you are working on U.S. corporate PPAs. Can you provide a little more color on that effort? Where you are potentially looking beyond New York state and what the scale of opportunities is that you are considering?
Bruno Guilmette: Yes, potentially on corporate PPE, we are concentrating on New York state for the moment. We are looking more for MME outside the New York state and the U.S. for the moment on corporate PPA.
John Mould: Okay. And then maybe just moving to back to France and the broader competitive environment there. You have got a lot a large early stage pipeline. France seems to be getting more attention from merger developers and I'm thinking of the digital as announcements from here and beyond the regular attendees who are participating in what is the competitive environment look like for securing earlier stage development opportunities in France right now.
Patrick Decostre: Yes, the competition on securing projects, a land or grid connection has not really changed. The question is more - competition is more the fact that, that small companies or probably seen the Nordics, have sold the development pipeline to RWE. Big companies are arriving but they are not - and stay humble, but they are not managing their team better than us in term of recent developments. And so on this side, there is not a real change of the landscape and for the moment, and I think the duration also of development in France, it will not change a lot on this site. But it is an impact on the possibility to make partnership with some developers because obviously more developers are informed by the interest of the big companies.
Patrick Lemaire: Is that boots on the ground and development in France is done with boots on the ground. The big guys they acquire pipeline for sure they acquire a smaller developer, but we still have a team. Our team is still ongoing and like it was mentioned we have over 100-megawatts of new project. So, this has been going on for years and the reason why we have over 1000-megawatts project in development and we adding overtime so. So yes, the big guys that can come in but we have been we have an established team in France that can sign land lease, that can look at the grid and to see okay, there is capacity over there. And for sure, I monitor the wind where the best wind is to sign those. So, this is my answer.
John Mould: Okay, that is helpful detail. Maybe just lastly on your project in Scotland, any updates on progress there in securing off-take agreements?
Bruno Guilmette: And we are working on this Q2 was not the best moment to do this. But we are still working on this. there is interest, but nothing to say today. We have done some preliminary work on the site to see the construction planning and we will work during the next quarter about securing the financing and the partner.
John Mould: Okay. I will get back in the queue. Thanks very much.
Operator: [Operator instructions] The next question comes from the line of [indiscernible] with Industrial Alliance. Your line is open.
Unidentified Analyst: Hi good morning. Just wondering if you could talk more about the corporate CPA market in France. The deal with [indiscernible] is very interesting, they are obviously quite a large corporation. And I think they have established their own clean energy targets. I think it is 50% renewable energy by 2025. I'm just wondering if you can comment on the partnership with [indiscernible]. How could that evolve overtime?
Bruno Guilmette: Yes. Essentially the first step was to sign a PPA with them. They have defined ambitious targets. There are not the only one in France, big renowned corporation doing this. The situation is that, there is not a lot of assets available for the moment because everything has been signed 15-years ago with EDF. So, a lot of assets are signed. We are one of the, if you remember, by the end of 2005, Boralex owned 19-megawatts of wind and was the first player, not the first independent player already. So we are one where the one who was the first one who sell electricity from existing sites, and this is an interesting thing. The next step will be indeed to hopefully when they offer new project for these people was a long-term protract, which shouldn't be five years in this case to secure financing. There was already one tender from my knowledge about this in France. We have not been successful in this. But you see that tendency of the tendency of market of the big corporation wants to be greener or on one side ESG question and on the other side, customers and branding. So, we are discussing with all these people, and it is good because the partnership with [indiscernible] and also the new contract with the retailer also which is very well-known in France puts us on the place as a new name and the new say start of a new branding Boralex in France.
Unidentified Analyst: And would you - like when you are looking at some of these assets that are coming off their PPA, let's say over the next few years, so you would rather have or sign corporate PPAs rather than maybe try to renegotiate or extend contracts with EDF?
Bruno Guilmette: Yes. There is no possibility to extend the contract or renegotiate with EDF. Really it is possible to sign was EDF aggregator subsidiary but not renegotiate contract with the big corporation. So in this case, that is what we have done the last few years on the first three assets, you can sign who is aggregator. But we are negotiating presently the next project [indiscernible], which would be beginning of 2021, a new contract that start in 2006. And we are negotiating was interesting corporation also to secure a corporate PPA with them. And we are all the time comparing to the possibility of re powering of the project. When reporting is very, very creative and interesting to us, then it is better to go for repowering because we are securing today 20-years contract. And as Patrick mentioned, we are not exposed to any market risks. So, we are playing both games in parallel for any projects and looking and screening everything.
Unidentified Analyst: Okay. Got it. That is great details. So, not sticking for one topic and by a kind of by a site by site basis, you decide whether a repower or flip from corporate PPA.
Bruno Guilmette: Yes. Indeed. I mean, could evolve in time. The market situation or the technology can change, or the authorization can also be easier to obtain -.
Unidentified Analyst: Okay. Thanks for that detail. Maybe just one other question. I know you don't have any specific targets for storage in your current strategic objectives. But just wondering if you can give us an update on generally your thoughts on storage and then what opportunities you might be saying enough technology going forward?
Bruno Guilmette: So, generally, I mean, we are working, we had one side in France, we are monitoring the revenue and monitoring which works. This is one thing we have another project we are working on one other side, where we will have subsidies to build a small - it will be a small project, but also -. In very New York state storage as a on its own is purely merchant markets. And so we don't want to do this, but storage combined with solar project, were working on this also on the small size, especially to learn. But there is, as you probably have seen that there is a important target from storage to New York for the next year. So, we will follow that and learn for the next years and you do something in the future.
Unidentified Analyst: Okay. Fair. Thank you.
Operator: There are no further questions at this time. I will turn the call back over to our presenters.
Stéphane Milot: Alright. Thank you, operator and thank you everyone for your attention. If you have any additional questions, please call me at 514-213-1045. I will make sure we quick answer your questions. And on that I would like to say that our next conference call to announce third quarter results will be on Wednesday, November 11. I hope you all remain healthy. Have a great day. See you next quarter.
Operator: This concludes today’s conference call for today. You may now disconnect.